Operator: Good morning, and welcome to Dex Media’s Third Quarter 2014 Conference Call. With me today are Joe Walsh, Chief Executive Officer, Peter McDonald, Former Chief Executive Officer, Dee Jones, Chief Financial Officer, and Incoming Chief Financial Officer, Paul Rouse. Some statements made by the Company today during this call are forward-looking statements. These statements include the Company’s beliefs and expectations as to future events and trends affecting the Company’s business and are subject to risks and uncertainties. The Company advises you not to place undue reliance on these forward-looking statements and to consider them in light of the risk factors set forth in reports filed by Dex Media and its predecessor companies with the Securities and Exchange Commission. The Company has no obligation to update any forward-looking statement. A replay of the teleconference will be available at 800-585-8367. International callers can access the replay by calling 404-537-3406. The replay pass code is 18495589. The replay will be available through November 28, 2014. In addition, a webcast will be available on Dex Media’s Web site in the Investor Relations section at www.irdexmedia.com. At the end of the Company’s prepared remarks, there will be a question-and-answer session. And now, I’d like to turn the call over to CEO, Joe Walsh. Joe?
Joe Walsh: Thank you, Maria, and good morning everyone. Let me start by saying how very pleased I am to be leading Dex Media. I come to this position with a great respect for the company and for its accomplishments since the merger in 2013. On today’s call Peter will share an overview of the Company’s progress year-to-date and then Dee will get into more of the detailed results from the third quarter. I will then wrap up with a few closing comments. Now I’ll turn it over to Peter.
Peter McDonald: Thank you Joe and welcome. Let me give a little background on Joe and get you up to speed on what has taken place over the past six months. Following the merger of Dex One and SuperMedia our Board of Directors were interested in taking a closer look at our digital strategy to make sure we weren’t missing anything. In March of 2014, we brought in Walsh Partners to take a hard look at our business and our digital strategy. Joe has a long history in this space and has been a pioneer for digital solutions in our industry. In addition Joe was asked to take a look at our business to see if he saw any other areas of potential improvement. By way of background, Joe has been in the industry for more than 20 years. And is recognized as one of its top CEOs. He created Yellowbook and took that business from 30 million to more than 2 billion in revenue over the course of his tenure. Using a very aggressive acquisition strategy he rolled up 77 companies in a relatively short period of time. He’s currently Chairman of a public company Cambium Learning Group, also located here in Dallas. I have known and competed with Joe for decades and he’s a tough opponent. He has an entrepreneur spirit, a passion for the business and a keen eye for creating value. He’s a true winner and all those who worked for him seemed to love him, and have a great deal of respect for his leadership. Transitions are never easy especially after 40 years in the industry but I am confident that Joe is the right guy to take Dex Media to the next phase of this transformation. He’s worked for the Board and alongside me since March, on this business and sees real opportunity in our future. It is my pleasure to welcome him and I am excited to see what he will do for this company. Although I will no longer be involved in the day-to-day business of leading Dex Media. I will continue in a consulting role with the Board and with Joe for the next year to ensure a smooth transition. Now for a quarter and year-to-date update. This has been another good quarter on many fronts. I am pleased to report that our momentum of positive digital ad sales continued, driven primarily by our bundle approach. Our strategy to be the marketing department for small businesses is yielding positive results and we’re encouraged to see clients respond favorably to our bundles. Enthusiasm is building among our employees, especially with our marketing consultants on the front lines. We observed improved execution throughout the company in the third quarter as well as increased client interest encompassed in our products. These positive outcomes further reinforce our commitment to helping local businesses grow by providing a one stop shop for marketing solutions. Once again in the third quarter we delivered double-digit growth with our digital products. Year-to-date digital ad sales growth was 10.9% driven primarily by our bundled solutions. Year-to-date pro forma EBITDA was 536 million with a margin of 37.9%. Free cash flow was 290 million year-to-date and we retired 314 million in bank debts during the first three quarters of 2014. Client retention remained around 80%, and as we have seen in previous quarters that percentage is even better with our higher spending multi-product clients. Recurring revenues were approximately 80% to 85% and bad debt continues holding at 2% indicating our clients continued satisfaction with the value delivered by our marketing solutions. During the quarter digital sales grew 10.3%, a 1000 basis points improvement over third quarter in 2013. Digital sales accounted for 30% of the revenue in the third quarter up from 25% the same quarter of 2013. Currently 37% of our clients have digital relationship with us versus 34% at the same time last year. Knowing the average annual spend for digital clients in $2800 to $2900 and that multiproduct sales delivered our highest client retentions, we have remained focused on deepening our digital penetration by demonstrating how local businesses can get found, get chosen and get talked about using a variety of marketing solutions. Our consultants are building relationships that deliver positive results for our clients and for Dex Media. Our comprehensive marketing solutions are designed to provide value for local businesses. Our larger and medium size businesses clearly appear to benefit, as evidenced by the 75% to 90% digital penetration achieved within these segments. In addition our decision to expand the telephone centers has provided an excellent platform reaching the smallest local business. By offering solutions tailored for their specific needs such as our Start Smart bundles, our digital penetration among small clients has grown to more than 20%. We are also experiencing increased retention among small local businesses which tell us they are beginning to understand the value that can be achieved from our digital marketing solutions. As we focus on offering market solutions that represent clear value for clients from all segments. We believe our digital penetration will continue to grow. A key differentiator for Dex Media is the strength and talent of our sales team. Our clients rely on our marketing consultants who personally guide them through the basics of establishing digital marketing program. And with a nationwide team we believe we are well positioned to build those relationships and retain them overtime. Our marketing consultants are working hard to reach more clients than ever before. Over the past year we invested and improved the process for hiring and training marketing consultants. And we believe the new approach is making a positive impact on sales results. Our sales recruiting and training teams are dedicated to hiring, training and retaining high quality sales professionals and we are seeing notable results from their efforts. In our search for new marketing consultants we screen for those who share the key characteristics of our current sales top performers. This new methodology has enabled us to attract the higher caliber of talented candidates for our team. New hires spend eight weeks in comprehensive training both in the classroom at Dex Media University and also in the field, before joining our teams and selling to clients full time. Our newest marketing consultants benefit tremendously from their training and are well prepared to hit the ground running. Over the past three quarters we have seen impressive results from these rookies who generated $56 million in multiproduct sales with an overall gain on their initial account assignments. These sales contributed $21 million in digital sales year-to-date, a meaningful improvement over the historical performance of our sales trainees. It’s no surprise that improved training and early success in the field contribute to an increased job satisfaction among or our newest marketing consultants. Turnover numbers indicate improvement in retention of our rookies, and that percentage has declined by half from 34% in 2013 to just 17% in 2014 year-to-date. In another effort to attract high quality candidates across the company we are working to build a strong employer brand. You can see evidence of these efforts on the online company review website glassdoor.com where our overall company rating has risen from 2.5 in 2013 to its current 3.7 out of a possible 5. Ratings and reviews on Glassdoor are submitted by employees who rank their companies in terms of culture and values, work life balance, senior management, compensation and benefits and carrier opportunities. As we are now in the fourth quarter of 2014 we are looking into the future by exploring new ways to enhance our marketing solutions. Continue attracting new clients and expand our relationships with existing clients. Our teams are evaluating potential strategic partnership opportunities, innovation, new technologies and variations on our existing solutions as well as new approaches to communicating with or selling to our clients. We are continually looking for ways to enhance our mission to be the marketing department for local businesses. Several times a year we hold seminars across the country during which local businesses can learn more about the latest trends in marketing. We are also proud to announce our support for this year’s American Express small business Saturday Shop Small initiative. We will promote this event in several ways and encourage consumers to patronize local businesses this November. In closing I want to reiterate our confidence in Dex Media and our commitment to serving as the marketing department for local businesses. Our leadership teams are aligned around key initiatives and encouraged by momentum we’ve achieved over the last four quarters. As an organization we’re focused on a strong finish to 2014 and we look forward to the future for a number of reasons. First, we believe our strategy to be the market department for local business is working. Next, our bundled solutions appear to resonate with clients and deliver measurable results for their businesses. Third, we see ample opportunity to increase digital penetration across our client base especially within the small client segment. And last, we believe our investment in recruiting and training efforts are resulting in higher quality marketing consultants and improved sales. As I wrap up I want to share a few final thoughts. After four years in the industry it is difficult to turn over the range of this business but as I stated earlier, I am confident Joe Walsh is the right guy for the job. With Joe as CEO and a strong team of senior leadership working beside him, we’re focused on growing the value of this enterprise. Also I want to thank our CFO Dee Jones for all he has done in managing the debt and financial issues associated with this business. I want to thank Del Humenik and the sale and marketing teams for all the work and the digital results they have gotten. And the many people that I have worked with starting with the executive council and our senior leadership team. Over the past four years we have grown margins, we have paid down debt, merged and integrated with Dex One and continued transformation of this business. We developed a very strong team and have created a digital strategy and a business for the future. I step aside knowing that under Joe our future is in the best hands possible. Finally, I want to thank the Board for all of their support and direction. I have tremendous respect for their insights and know that they always have the company’s best interest in mind. So thanks and now let me turn over to Dee.
Dee Jones: Thank you Peter and good morning everyone. First I wanted to thank Peter for his partnership over the last several years. We have progressed on numerous fronts under his leadership. To the leadership team and entire organization at Dex Media, I say thanks. Thanks for affording me the opportunity to serve you. Now before I provide the third quarter financial results, I would remind you that some of the results I will be speaking to this morning are non-GAAP numbers. We have provided a reconciliation of GAAP to non-GAAP results in the appendix of this presentation. The third quarter was a continuation of our progress as Peter mentioned earlier we are experiencing positive results in our digital penetration across our client base with more opportunity in the smaller client segment. The telephone sales channels has been successful in implementing our digital strategy and has contributed to our efforts in lowering expenses. We continue to focus on driving down costs across the business and managing margins as we complete the year. Now turning to third quarter financial results. Total multi-product ad sales declined 12.5% as compared to a decline of 14.6% for the same period last year. The 210 basis point improvement is a result of the progress in converting the existing print clients to our multi-product bundles as well as maintaining renewal dollars in the 80% to 85% range. Third quarter digital ad sales grew 10.3%, the growth rate of 10.3% is over 1,000 basis points improvement compared to flat in third quarter 2013. This growth was driven primarily by the performance of our bundled solutions in the local sales channel. Now I would like to spend a moment providing a few key points to keep in mind as it relates to ad sales. As we have defined this metric in the past, ad sales is intended as a leading indicator of reported revenue on a combined basis for print and digital. The print ad sales represent what has delivered and started to build within the quarter that is been reported. The digital ad sales consist of local and national accounts. The national account portion of this calculation is more closely aligned with print ad sales calculations. Local digital ad sales represent what has been sold within that quarter to be fulfilled and build in subsequent months. This difference in digital ad sales impacts the timing of reported revenue due impart to win and how we deliver the digital solutions. Timing difference range from a month to several months depending upon the clients business, billing cycle or marketing program. Now turning to revenue and EBITDA results for the third quarter. Dex Media reported revenue of 452 million a 15% decline compared to the pro forma results last year. Adjusted expanses were 285 million and adjusted EBITDA was 167 million with a margin of 36.9%. On a year-to-date basis pro forma revenue was 1.412 billion a 15.5% decline compared to the same period last year. Adjusted pro forma expenses were 877 million and adjusted pro forma EBITDA was 535 million with a margin of 37.9%. The Company incurred 7 million of merger integration costs in the third quarter and has incurred 33 million year-to-date. Taking a closer look at expenses year-to-date compared to 2013 we had a total expense reduction of a 135 million a 13.3% decrease. Realignment in the sales channels and sales productivity is a primary contributor in the reduction of sales expense. We continue to achieve efficiencies in cost of sales within training, publishing and distribution driven primarily from lower volumes offset with digital fulfillment cost. G&A expense reductions are attributed to lower headcount and benefits from merger integration initiatives. In addition on a GAAP basis during the three months and nine months ended September 30, 2014, the company recorded a $29 million credit to expense associated with employee plan amendment that reduced benefits associated with the company’s long-term disability plan. This item has referenced in the GAAP to non-GAAP reconciliation financial schedule. With respect to debt payment activity for the third quarter, our total bank debt balance at par was $2.413 billion at the end of the period. Retirements of principle made through the end of the third quarter were 314 million. When you net this with the 16 million payment in kind associated with the bonds it results in an overall debt reduction of $298 million. We have provided debt balances at par and cash by silo in the appendix of this presentation. Year-to-date the company generated free cash flow of 290 million representing cash from operations of 305 million less capital expenditures of 15 million. This includes merger integration cost of 35 million. Cash on hand as of September 30, 2014 was $145 million. As I close the quarterly financial remarks I wanted to note we will be posting the silo financial statements to the Investor Relations section within a week or so. In addition to the normal posting supplemental schedules for adjusted pro forma EBITDA by silo will also be provided. I would like to turn the call back to Joe for his closing comments. Joe?
Joe Walsh: Thank you Dee. Although this is officially just my third week on the job I have gained a good grasp for the business and the strategy over the last seven months. Working with Peter and the Board of Directors I became intrigue by the idea of solving this puzzle. Continuing the transformation from legacy of print directory business into a full service Digital Media company. My mandate from the Board is to accelerate the transformation to move the company forward quickly. With a lot of hard work and innovation I am confident we can build something really special. To achieve that mandate I have assembled a dream team to be the new executive leadership at Dex Media. They are a great combination of talent within the company -- from within the company as well as some of my long time colleagues from the industry. The team includes Mark Cairn EVP of Operations and Client Services, Michael Dunn Chief Technology Officer, Ray Ferrell General Counsel and Secretary, Gordon Henry Chief Marketing Officer, Del Humenik Chief Revenue Officer, Paul Rouse Chief Financial Officer, Deb Ryan EVP of Human Resources and Gary Shaw Chief Information Officer. Over the coming weeks my executive team will focus on completing an intensive planning process for 2015 and beyond. And while I’m not ready to disclose all the details of the plan today I can share three main focus areas. First, we need to further variabolize the cost structure of our print directories and internet yellow pages. Second, we need to accelerate digital revenue growth. And third we will bring new products to the market and address the needs of local businesses. In closing I would like to thank our outgoing leaders. First of all Peter, for introducing me to this incredible opportunity. After many years in this industry I fell I have been training my whole life for this moment. Peter and I have been colleagues, competitors and friends for decade and I admire him greatly. I want to recognize and thank our CFO, D. Jones for his many years of leading our excellent finance function and for overseeing the reduction of debt. My thanks also to Fank Gatto outgoing EVP Operations for his many contributions and leadership over the years. Although Peter, D. and Frank are all moving into retirement they won’t be completely free of us as they will continue to serving the company an advisory role over the next year. Thank you for your continued interest in Dex Media. Operator we are now ready to go to Q&A.
Operator: Thank you. (Operator Instructions). Our first question comes from Chad Quinn of Bennett Management.
Chad Quinn - Bennett Management: Good morning. D. can you comment on the little bit margin decline -- EBITDA margin decline. Can you talk about or quantify the digital investment that run to the income statement rather than CapEx number?
Dee Jones: Chad thanks for the question. We don’t breakout margins specifically to the individual product segments, there is lot of pieces that go across both platforms but the bulk of your expense and your investment in digital flows through the operational aspects as oppose to the CapEx side of the house, depending upon what you’re doing. But as we’ve said in the past margins on digital and our individual digital products and in aggregate are positive and we’re continuing to see improvement as we scale that business and as we look to scale it further, we’re looking for a continued margin improvement in that aspect of it. Certainly there is a mix shift that’s going on between print and digital and causing some margin compression as we’ve talked about in the past. But we continue to look to manage that, the pace of that has been relatively slow and we’ll continue to look for expense opportunities as Joe has alluded to. I am sure he and his team are later focused on that as we move forward and the digital aspect of that will certainly be a factor as we look to improve those margins.
Chad Quinn - Bennett Management: And just one final one from me. The EBITDA adjustment for the retirement plan amendment. Can you just comment on the cash impact of that adjustment, is that a non-cash item or is there a cash impact to that number?
Dee Jones: First let me be clear. That adjustment is in the GAAP financials, it has been for a better term out-boarded relative to the pro forma adjusted results. So it’s not in the pro forma adjusted EBITDA of 535 year-to-date. That is external to that, so that credit flows through GAAP financials, but not the pro forma adjusted financials. But that credit is a non-cash item as it was recorded. It benefits future cash flows, it’s an elimination of future outflows that would have occurred otherwise without that adjustment.
Operator: Our next question comes from the line of Jan Gonsey of Newmark Capital.
Jan Gonsey - Newmark Capital: Just a couple quick ones. Wondering on the print decline, it seems like its accelerated a little bit, a point or so. I was just hoping that you guys can talk a little bit about that, is that sort of normal fluctuations or is that representative of your strategy emphasizing digital and moving more towards the digital product.
Dee Jones: I think what you got to realize is especially with the print component of that is, you’re in various markets at various times in different quarters. The quarter itself, yes we saw a point 1.5 type movement in that decline. But you got to remember third quarter market is different than second quarter market is different than first quarter market. So I think there was an influence there. Certainly as we focus more on the multi-platform strategy and approach, there is an influence or an impact there. But I wouldn’t say there was a -- we’re not viewing third quarter versus second quarter as a despair performance or impact of anything of that sort. I think it’s more about the markets we ran in those particular times.
Jan Gonsey - Newmark Capital: So it is the normal sort of fluctuation versus like a larger trend of kind of slightly accelerating print declines.
Dee Jones: And that’s how we see it, that is how we it.
Jan Gonsey - Newmark Capital: And then just seems with the last couple of quarters you have been roughly in the call it 10% to 12% digital, growth rate. Is that a fair run rate going forward if all goes well, is that how we should think about that?
Dee Jones: As you guys know, we haven’t provided guidance in the past and that policy has not been adjusted with respect to that, I think we certainly I think have been clear that we’re focused on digital growth and driving digital performance in this business, we’re not at a point where we want to say this is what those growth rates are going to be as we move into the future, not looking to provide guidance in that area. But sufficed to say, we’re going to continue to focus on that piece of the business as a very important part of the future of this enterprise moving forward and continue to try to drive as good a growth in those areas of business as we can.
Jan Gonsey - Newmark Capital: And just sort of lastly, just following up on the first question. Obviously it seems like EBITDA margins on a pro forma basis sell more than the past couple of quarters. I need to see maybe a bit more than the mix shift because that should have been similar to last couple of quarters, similar sort of kind of rate to decline. I mean is there something else going on in there that we’re not kind of seeing like in terms of increased investment or increased training of the sales teams? Is there something like that? I mean I am just kind of curious like why such a large drop off from the EBITDA margin on a year-on-year basis versus the first two quarters.
Dee Jones: I think you just have to be a little bit careful looking at quarter-to-quarter-to-quarter type margin assessment in this business. As we talk in the first quarter and second quarter, there was a couple of one-offs influencing both of those quarters. I tend to look more year-to-date margins as a gauge there and we’re in that 38 range with respect to year-to-date margins. Certainly there has been some contraction, and you got to remember we’re further removed from the integration and the merger aspect. So your synergy impact were a little greater degree as we flow through the last quarters of 2013 and first couple of quarters of 2014. We’re still seeing those benefits and the results of those but the incremental effects of those synergies is starting to slow. Having said that I know that the team here is going to be focused on -- with a fresh perspective looking at expense opportunities and expense initiatives to continue to try to manage margins as effectively as they can. And I think there is probably more to come in that regard later on after this planning process that Joe alluded to is completed. So I think there is no less focus on margins and private improvement or maintaining those margins as we look forward. Why do you think you are seeing an effect of slowing of the incremental benefit of synergies as we get further remove from the merger, but expenses and managing that piece of business will continue to be a focus.
Jan Gonsey - Newmark Capital: Okay, great. So, perhaps as the new identifies more cost cuts you could see sort of a bump up in margins, relatively speaking potentially.
Dee Jones: Well we are looking to managing margins as effectively as we can. Again we are not looking to provide guidance at this point in that regard. Certainly expense control and margin management is as focus as we move forward.
Operator: Our next question comes from the line of Colin Wilson-Murphy of Bowery Investment Management.
Colin Wilson-Murphy - Bowery Investment Management: Thanks for taking my questions. Joe going forward do you anticipate providing a range of financial guidance similar to what Dex one used to provide?
Joe Walsh: We haven’t planned any changes in guidance at this time.
Colin Wilson-Murphy - Bowery Investment Management: Okay. And Joe as we continue to migrate from print-to-digital and the quarters continue to roll through. Do you anticipate at some point breaking out for us the separate business line items certainly as relates to revenue, but maybe even on the cost size as well?
Joe Walsh: We are diving right now into a planning process, looking at the future and we will make note of your request and think about it but at this point we are not planned to make any changes in guidance.
Colin Wilson-Murphy - Bowery Investment Management: Okay, thanks Joe.
Operator: (Operator Instructions). Our next question comes from the line of Seth Crystall of RW Pressprich.
Seth Crystall - RW Pressprich: Good morning gentlemen. Thank you for taking my call. I just had a couple of questions, just following up on early questions concerning the decline in print media, the sales. I mean I realized that the quarter is down, but the whole year is been trending down. So I know quarter-to-quarter makes a difference but I think there is seems to be an obvious trend since the fourth quarter of 2013. So is there anything more at stake there and just each quarter has different things going on because it seems to be a trend has now declined for the past three quarters.
Dee Jones: I think as I look at the first couple of quarters, I don’t know that I am seeing that or I would characterize the performance on the print piece in that same fashion. I think it’s been our characterize -- it has been a relative stable decline in those results through those quarters, certainly there are some pluses and minuses within the results of those two periods or those three periods of three quarters. I think that this business transforms with the strategy we have to provide the clients with the best solution and the best programs that includes the multiplatform solution. We recognize there is going to be a certain trend down with respect to print. We are certainly looking at every opportunity and finding ways new and creative ways to manage that and slow that and have impact on it, but I wouldn’t characterize that the performance in the first nine months of the year has been increasing declines. I think I would view that as stable level of decline that has some pluses and minuses within the respective quarters. Certainly there is an influence on the products and consumer behaviors and how those move and migrate and advertising dollars following those, we’re certainly looking to manage that in the most effective fashion for the client value proposition and for the results of the enterprise.
Seth Crystall - RW Pressprich: Okay, great. Joe I know you’ve been there a while, but welcome for the team. I have a question really for you in terms of what you did at Yellowbook and the 77 acquisitions. I mean how do you view the playing field now? What’s changed with acquisitions, might that be product strategy?
Joe Walsh: It’s not a part of our medium strategy that’s for sure. We want to go to work on the existing business, we see some opportunities to improve, and we are excited about accessing those. Backing the camera up and thinking about the big picture there is obviously a commercial logic to the consolidation there is no question about that, this business response really well to scale. This business is relatively easy to operate at scale. So I am certainly -- I am on record of having spoken to the industry a fair amount about the consolidation that ultimately will happen within the industry. But we have got some work to do first, so we are getting focused on that.
Seth Crystall - RW Pressprich: Okay, just last question. I guess the 900 pound gorilla is really the debt on the balance sheet. In the past management said that you got some runway to get there before the debt matures at the end of 2016. So could you give any comments about, is that something you are going to focused on in addition to running to business and how do you might work to make that situation better?
Joe Walsh: You said it well, certainly 900 pound Gorilla, it’s right there. It needs to be thought about and addressed. And we are taking look at what we think is possible to do with the business in terms of its overall performance and cash flow. And Dee if you want to add any comment.
Dee Jones: I mean certainly we are always looking at opportunities within the capital markets on how we might address or improve that capital structure profile and that’s not a new thing and certainly not something that we’re going to lose focus on as we move forward. Looking for opportunities as the capital markets move and change and adjust and as our performance moves and changes and improving I guess that capital structure and that profile certainly going to be a focus.
Seth Crystall - RW Pressprich: Okay, great. Peter and Dee good luck to you in the future.
Operator: Our next question comes from the line of Bob Konefal of Phoenix.
Bob Konefal - Phoenix: I want to sort of go back to the sort of quarterly trends real quickly if I could. Is there slight deceleration in digital growth fall in the same category is sort of the cadence of the go to the market for digital or is the cadence of digital different from print or is it similar?
Joe Walsh: The cadence of digital is a little bit different, but I would say -- suggest to you that the performance, we’re not concerned and don’t see it as a slow down or decline in the performance relative to the digital growth rates. I would note for you that it’s a 1,000 basis point improvement over third quarter last year which was flat. And we’re in very similar market if not the exact same markets, this time versus a year ago. So that degree of improvement is certainly noteworthy. Double-digit growth in the digital business is encouraging to us we certainly looking to try to continue to enhance that. And I think this quarter was another consistent performance period for us relative to the prior quarters and on the digital front.
Bob Konefal - Phoenix: So notionally, we should be looking more year-over-year than quarter-over-quarter sequentially.
Joe Walsh: I think traditionally in this business that’s been a more appropriate view to take, as oppose to the sequential, we certainly look at this sequential to make sure that we’re looking to maintain momentum. And continue to drive that and I believe that the third quarter performance allowed us to do that. We still feel like the momentum is there and the ability to perform and deliver on that digital front is very much still there.
Bob Konefal - Phoenix: And then the second question is arguably more for the new team Joe and Paul and the three strategic priorities does not include dealing with the balance sheet. Is it fair to say that it is in fact a strategic priority with bonds -- the debt structure maturing in 2016? Is it a strategic 2015 priority?
Joe Walsh: Yes, it’s certainly on the table. I hope you can appreciate our operational focus at the moment. We’re really looking at the business and looking at opportunities within the business to optimize its performance, but we haven’t missed the balance sheet, we see that.
Operator: Our next question comes from the line of Colin Wilson-Murphy of Bowery Investment Management.
Colin Wilson-Murphy - Bowery Investment Management: With your bank debt maturing in just over two years and it sounds like we have some new and innovative ideas as it relates to investing the digital product and we know that the current covenants do not allow for a great deal of spending flexibility. Do you anticipate on reaching out to lenders to start a dialog to potentially proactively solicit changes to the docks?
Dee Jones: At this point within the can confine to those credit agreements, I wouldn’t say that there is limitations in regard to the normal types of initiatives and activities that would need to be undertaken and are being considered. I don’t believe there is going to be activities that are considered here, at least in the initial wave of planning that the team is going through that are going to require that sort of a reach out. Now having said, there is no need to dialog with lenders in that community and assessing opportunities with respect to the capital structure and you mentioned the date of 2016 and we haven’t lost sight of that will be a focus on considering any and all opportunities relative to that debt structure. But as far as limitations on some of the initiatives that would be under consideration as to the business, I don’t believe those with limitations exist within the credit agreements or that we’re going to be hamstrung in regard to anything we’re looking to do with the business relative to covenants or limitations from the agreements themselves.
Operator: Thank you. That was our final question. Thank you for joining Dex Media’s third quarter 2014 earnings call. You may now disconnect and have a wonderful day.